Operator: Good morning, ladies and gentlemen, and welcome to Ritchie Bros. Q4 and 2013 Earnings Conference Call. [Operator Instructions] I would like to remind everyone that this call is being recorded on Monday, March 3, 2014. I would now like to turn the conference over to your host, Peter Blake, CEO; Rob McLeod, CFO; Bob Armstrong, Chief Strategic Development Officer; and Steve Simpson, Chief Sales Officer. Please go ahead.
Peter James Blake: Thank you, Chris. Good morning, everyone, and thanks for joining us on our fiscal fourth quarter and 2013 year-end earnings conference call. Before we start, I’d like to make the Safe Harbor statement. The following discussion will include forward-looking statements as defined by SEC and Canadian rules and regulations. Comments that are not statements of fact, including projections of future earnings, revenue, gross auction proceeds and other items such as our potential addressable market, are considered forward-looking and involve risks and uncertainties. The risks and uncertainties that could cause our actual financial and operating results to differ significantly from our forward-looking statements are detailed in our SEC and Canadian Securities filings available on the SEC and SEDAR websites, as well as rbauction.com. Our definition of gross auction proceeds may differ from those used by other participants in our industry. It is not a measure of financial performance, liquidity or revenue, and is not presented in our statement of operations. Finally, we will be discussing adjusted net earnings, which is a non-GAAP measure. We define adjusted net earnings as financial statement net earnings, excluding nonrecurring items such as the after-tax effects of sales on excess profits. A reconciliation is available in our MD&A for the quarter. Our quarterly and 2013 year end results were made available earlier this morning. We encourage you to review our earnings release, MD&A and financial statements which are available on rbauction.com, and will be available shortly on EDGAR and SEDAR later today. Now onto our quarterly results discussion. As you learned in December, our gross auction proceeds during the fourth quarter were a record $1.1 billion. This, combined with a strong revenue rate and the operating leverage inherent in our business, helped us to achieve record fourth quarter adjusted earnings of $30.3 million or a 36% increase from last year, and a record for adjusted net earnings generated by the business in the fourth quarter. This quarter's results were affected by 2 nonrecurring items. Including these items, net earnings for the quarter were $33.7 million. The revenue rate for Q4 was 11.82%, marginally above the revenue rate we generated in the same quarter last year and within our expected 11.5% to 12% range, as discussed last quarter. Turning to our annual results now, Ritchie Bros. generated $3.8 billion of gross auction proceeds during 2013, a slight decline from the $3.9 billion GAP we achieved last year. Revenue during the year increased 7% to a record $467 million while SG&A expenses, excluding amortization and depreciation, grew only 5%, supporting an increase in our adjusted EBITDA margin for the year to 36%. Importantly, our core auction business alone generated an adjusted annual EBITDA margin of 39%. Adjusted net earnings for 2013 were $90 million or $0.84 per diluted share, a 9% increase from 2012 due primarily to the strong revenue rate we achieved throughout the year. Including the impacts from the sale of property and other non-recurring items, net earnings for 2013 were $93.8 million or $0.88 per share. The number of new customers choosing the sell through our auctions continues to grow, an important growth metric for -- as it shows the progress we're making in reaching new customers. In fact, during 2013, the number of consignments, lots, auction registrants and buyers all increased, which is a positive indicator to our continued market share growth despite GAAP headwinds. During 2013, we held 356 auctions, including 245 industrial auctions worldwide. Average GAP per industrial auction during the year was $14.3 million, compared to $16.5 million last year. The increase in auctions held and decrease in average GAP per auction is due in part to holding more offsite auctions, meaning sales held at sites other than our 44 fixed locations, which we often do to meet our customers' needs or to enter or grow markets we believe we can build further brand presence. Since the start of 2014, we've already held 7 auctions in 3 countries. And while the first quarter is typically one of our smallest of our business, our recent 6-day Orlando auction held in February was another success. We sold over $166 million worth of equipment at that sale for a record number of consignors for that auction. While we have fewer lots sold in this year's Orlando auction, down 6% from last year, the mix and the age of equipment we sold showed signs up improvement. Overall, we had more low-hour, high-quality machinery in key equipment categories in this year's auction, which is indicative of our expectation that the equipment age headwind we faced in recent periods is starting to dissipate. We plan to publish our February GAP on Thursday, March 6, and I'll take this opportunity to remind you that the timing of our auctions differ from year to year, and this February's GAP will be positively influenced by the timing of our first auction at Edmonton this year, which we held last year in the month of March. We're now well into our first quarter of 2014. And while we don't expect to outperform the first quarter of 2013 in terms of GAP, we're seeing signs of positive growth for our second quarter and beyond with a very strong pipeline of activity building. We are on plan and optimistic for 2014. We're seeing younger pieces of equipment coming to market and the equipment replacement cycle is speeding up, triggering in part -- triggered in part by Tier 4 final regulations in the U.S. There also seems to be a bit more confidence about the economy, coming from our customer base. Overall, this is an environment that is more positive for us than the market and supply dynamics that we have faced in recent periods. With that brief overview, I'll pass the call over to Steve Simpson, who is down in ConExpo Las Vegas, to provide some more background on our sales performance and the market environment. Steve-o?
Steven C. Simpson: Thanks, Pete. Good morning, everyone. During 2013, we saw significant improvements in certain geographies, including Mexico, which had a nice lift in the second half of the year. Our experience in the U.S. was mixed, but certain regions of the U.S. had a strong year and continued to show strong growth. And we are encouraged by what we're seeing there, particularly in the Western United States. Our Canadian operations had another banner year, generating over CAD 1 billion in gross auction proceeds during 2013. This supported by continued steady growth across most provinces, including some of our most mature markets. In Europe, our sites in Italy and Spain performed well with a strong team and a challenging economic environment. Not surprisingly, volume per equipment in Australia during 2013 was impacted by the downturn in mining, and volume for equipment in Dubai was affected by the downturn in construction activity. Overall, as we learned in December, gross auction proceeds for 2013 were down 2% from 2012, due in part to the mix in age of equipment available for sale. We are seeing some improvement as younger machinery is coming to resale market, so this headwind is starting to lessen. More recently, in the first 2 months of 2014, we're seeing renewed demand from U.S. buyers. In fact, at our recent Orlando auction, we saw an increase in the proportion of sales going to the domestic buyers, which we view as good news, as it indicates stronger confidence by equipment owners in our largest market. Interestingly, a greater portion of the equipments sold at the auction left Florida for other states compared to last year. Another takeaway from the Orlando auction was that we saw a lot of support for trucks, where the depth of demand and the number of buyers was particularly strong. In fact, we had high-quality contributions from major trucking fleets at this auction, which generated favorable pricing. The unusually harsh weather experienced in North America in the past few months delayed many construction projects, with equipment sitting longer on these sites to finish work. We expect this has shifted some of the volume that would have otherwise occurred in Q1 into Q2. While pricing was pretty stable through all of 2013, we've seen some lift during the first 2 months of 2014. Pricing for trucks, motor backhoes, excavators, lift equipment and skid steers have been encouraging. As well the mix of equipment improved an overall increase of newer machinery coming through our recent auctions. On the Territory Managers front, we ended 2013 with 272 TMs, up 5% from the end of last year. The productivity of our new TMs continues to improve and tracking is along our expectations. Our pipeline of new recruits is also promising, and we're working it hard to ensure we continue to grow our sales team by another 5% to 10% by the end of 2014. In fact, we've already added 11 more Territory Managers to our sales force since the beginning of the year, a 4% increase of December 2013. With that, I'll now turn the call over to Bob Armstrong to provide an update on our strategic initiatives.
Robert S. Armstrong: Thanks, Steve. Our priorities for 2013 were straightforward. We were focused on growing our core auction proceeds, adding new revenue streams to our business and enhancing the size and productivity of our sales team. While it was a challenging year to attain GAP growth that we hoped for, we did end the year with a record fourth quarter and some momentum to carry forward. We added 13 net new Territory Managers to our sales team in 2013, and they are ramping up the full productivity nicely. And as Steve mentioned, we have already added another 11 in the first 2 months of 2014. We have also been investing in new training and technology tools to improve the productivity of our entire sales team, including prospecting tools that have allowed our TMs to spend more time actually meeting with potential customers rather than looking for them. 2013 was an important year for us as we launched EquipmentOne and diversified our service offering to provide equipment sellers with the choice of sales solutions tailored to meet their specific needs and circumstances. It's still very early for our EquipmentOne business, as it's been commercially operational for less than 1 year, but we're pleased with how traffic to the site and sales yield is progressing, and we're pleased with the momentum it's carrying into 2014. Sales yield or the percentage of listings that end in the transaction was over 85% in 2013, which exceeded our expectations. In 2013, EquipmentOne had total gross transaction value or GTV of approximately $100 million, revenue of $13 million and a negative EBITDA contribution of approximately $3 million due mostly to the upfront and development costs associated with commercially launching and improving this web-based business. We continue to view EquipmentOne as being in the startup phase and we expect the business will contribute positively, but not materially to our results for the next couple of years. We continue to see significant growth potential for this business. The company's priorities for 2014, as supported by our board, are largely unchanged from last year. We are focusing on growing our GAAP and revenue in our core auction business and capitalizing on the operating leverage in the model. We're expanding and training our sales team to capture more market share and enhancing our sales force productivity, and we're continuing to develop and grow EquipmentOne, our online equipment marketplace. We have a well thought of strategy and the resources to complete it. Our priorities for 2014 are based on executing this strategy. I'll now pass the call to Rob McLeod for a review of our financial performance.
Robert A. McLeod: Thanks, Bob, and good morning, everyone. As you saw on our press release, our net income for the fourth quarter was $33.7 million or $0.31 per diluted share. Included in our fourth quarter results are after-tax gains on the sale of -- the sale of land in Prince Rupert, BC, totaling $6.8 million, which was partially offset by $3.4 million of after-tax costs related to the CEO separation agreement. Our land that was sold in Northern British Columbia have never been used in our business and is acquired more than 25 years ago. We received an unsolicited offer, so we took the opportunity to sell it during the fourth quarter. We don't own any other land similar to this. The CEO separation agreement was developed by the board and is based on Pete's contribution as CEO over the past 10 years and his ongoing contribution to the firm throughout the CEO selection process and transition to the new CEO. On an adjusted basis, excluding these non-recurring items, net income was $30.3 million or $0.28 per diluted share in the quarter, an increase of 36% compared to adjusted net income for quarter 4 last year. This is a new earnings record for our fourth quarter. Revenue for quarter 4 was also a record at $131.2 million. This revenue growth of 12%, combined with an adjusted SG&A growth of only 1%, drove earnings growth of 36% in the quarter, demonstrating the operating leverage inherent in our model. Our revenue rate continued to be strong due to the performance of our at-risk business, which is 34% of our total GAAP in the quarter. Direct expenses were higher than usual, similar to quarter 3 at 1.55% of GAAP. The main factor in this uptick was that we held a larger number of offsite auctions during the fourth quarter of 2013, in fact, 13 more than the same quarter last year. And these auctions have higher relative costs associated with them than auctions held at our permanent auction sites. We expect direct expense to return to historical levels in 2014. Now we'll focus on our full year results. Net earnings for 2013 were $93.8 million or $0.88 per diluted share. Excluding the impact of non-recurring items, adjusted net earnings were $90 million or $0.84 per diluted share, an increase of 9% compared to 2012 adjusted net earnings of $82.6 million. Total revenue for our business grew 7% in 2013 to $467 million. This increase in revenue is primarily due to the record revenue rate we achieved during the year and the performance of our at-risk or underwritten business. At 12.24%, our 2013 revenue rate was more than 100 basis points higher than the revenue rate last year. We were and continue to be disciplined in our approach to securing underwritten contracts. In 2013, underwritten contracts, which consist of guarantee and purchase contracts, comprised 28% of our gross auction proceeds. This is a slight decline from the 32% last year and a good indication that our disciplined approach isn't resulting in fewer underwritten transactions and that we continue to pursue profitable GAP. SG&A expenses continue to be an important focus for us. Overall, our adjusted SG&A expense increased 5% over 2012 to $239 million. As per our strategy, the increase in SG&A was directly attributable to creating a larger sales team including sales support functions. Overhead costs associated with an admin corporate support functions decreased compared to the prior year. Overall, our EBITDA margin on an adjusted basis for 2013 was 37.3%. Our core auction business, so excluding the results of EquipmentOne, continues to perform very well. 2013 revenue generated by our auction operations grew 6% compared to 2012. And most importantly, our core business generated record adjusted earnings, increasing 13% over 2012. It's clear our auction model is working as planned and is generating the kind of operating leverage and earnings we know this business can achieve. CapEx for 2013 came in at $53.7 million, primarily for auction site improvements, maintenance and systems development. During 2013, we saw impressive results from our financing business, Ritchie Bros. Financial Services, which provided approximately $100 million of financing to our buyers during 2013. This represents 122% increase in financing activity over the last year and a demonstration of the momentum we are building through this service offering. During 2013, our financial services business, which we own 51% of, generated $1.6 million of income. Of this, over $800,000 was recognized in our consolidated earnings. The remainder is attributable to the minority shareholder in Ritchie Bros. Financial Services. You'll notice that the first time this year, we have presented this minority interest in our financial statements. Also, as most of you are aware, financing services through this business does not leverage Ritchie Bros. balance sheet. Revenue from the businesses is generated from fees we earn by matching equipment buyers with our financial institution partners. Looking forward into 2014, we expect a similar market environment to what we experienced in 2013, albeit with an improving mix of used equipment coming to market. As Steve mentioned, pricing continues to be stable and strong and construction activity in the U.S. continues to improve although at a modest clip. With this improving macro environment and an expanding sales force, we believe 2014 annual gross auction proceeds will come in between $3.9 billion and $4.2 billion. While the elevated revenue rate we achieved in some quarters of 2013 cannot be easily duplicated, we believe there are opportunities to capture some revenue rate improvements in the year ahead. As a result, we are adjusting the top end of our revenue rate range from a historic annual range of 11% to 11.7% to between 11% and 12% for 2014. And based on achieving our 2014 GAP expectations, along with a more normalized revenue rate, we believe 2014 pretax adjusted earnings growth will be between 5% and 10% over 2013. As I mentioned last quarter, we believe capital expenditures will come in below $50 million in 2014. We are comfortable with the auction site infrastructure we have in place to date and we believe we can build on our business on a capacity already available within this auction site network. The majority of our CapEx for the next several years will be focusing on maintaining our auction sites and ongoing investments in our technology platforms. We still believe we're on track to achieve our long-term target of 15% average EPS growth per year, at least 15% return on invested capital and EBITDA margins of at least 40%. Our core auction business is already near these measures. Before I pass the call for Pete for closing -- for his closing comments, received a few questions recently how the lower Canadian dollars could impact our results, so I'll just take a moment to address that now. The effect of currency fluctuations were negligible on our 2013 results and we expect them to be negligible going forward. While currency fluctuations can have an impact on each line item of our income statement, they generally offset one another as a result of our organizational structure, resulting in an immaterial effect on the bottom line. So with that financial overview, I'll turn it back over to Pete.
Peter James Blake: Okay. Thanks, Rob. Before we open the line for questions, I'd like to provide a brief update on the board's progress in selecting a new CEO to lead Ritchie Bros.' future growth. There's been a lot of interest in the role, and the board is very pleased with the quality of candidates that they are seeing. The process is progressing well. But given the sensitive nature of the selection process, no other updates will be provided until the new CEO is announced. The timing of that announcement depends on many variables. And because of this, there can be no certainty regarding when the appointment will be made. However, given the progress of the CEO search to date, we have every reason to believe we can land a great new leader for the company without any meaningful delays. The board and I are absolutely committed to ensuring a seamless leadership transition. And as a result, Bob Murdoch and I have both agreed to stay on the board until the CEO transition and transfer of responsibilities is complete. We believe this is a prudent measure to ensure a proper handover to the next CEO of the company. As a result, we will both stand for reelection on the board at our 2014 annual general meeting with the expectation that soon after the CEO transition is complete, we will both step down. At that time, as the company previously disclosed, it is expected that Beverley Briscoe, one of our longest serving board members, will become Chairman of the Board. We believe this is an exciting time for the company as we inject new perspectives and energy into the firm. We have a great platform with exceptional operating leverage and now we're focused on driving more revenue through the model. To this end, a new sales-focused leader with experience growing the top line will help to generate future growth. With that, I'd like to open the line for questions from analysts and institutional investors. [Operator Instructions] So Chris, can you please open the line for questions?
Operator: [Operator Instructions] Your first question comes from Yuri Lynk, Canaccord.
Yuri Lynk - Canaccord Genuity, Research Division: I guess just I'll start with the guidance. At the midpoint you're looking at 5% or 6% GAP growth. I mean, I think your sales force is going to be up at least that, starting the year, plus you've hired some additional Territory Managers year-to-date, as you mentioned. Keeping in mind the productivity takes time to ramp up, I think just with the higher headcount and pricing flat to up, I thought we might get a little bit higher GAAP guidance. So, I mean, what are kind of the puts and takes around that -- around the guidance there?
Robert A. McLeod: Yuri, it's Rob. As you know, our sales cycle is incredibly short. So it's trying to forecast out 12 months, let alone 6 months, is a bit of a challenge. And so we're doing our best to anticipate that growth in the sales team -- also frankly anticipate attrition and turnover in our existing sales team and the new Territory Managers that we add during 2014 build that into a model. And from that forecast GAP in whatever it is, 12 different currencies. And so it's for sure a challenge of forecasting GAP and we want to make sure that we're being prudent on that.
Yuri Lynk - Canaccord Genuity, Research Division: Okay. That's fair. I guess my second one will just be on the Territory Managers. I mean, can you give some color on I guess one of the areas -- regions where you have pretty low penetration. U.S. Northeast? I mean how many of these new Territory Managers have gone to that region? What's the retention rate like in that region and just any update on how the business is trending in some of these lower penetration areas that we don't necessarily get press releases on?
Peter James Blake: Yuri, it's Pete. Maybe I'll get Steve to add color after I speak. But we don't generally break down the ratio of Territory Managers per region. But I will tell you that, what we've gone through is, if you've got a dollar more to spend somewhere, you want to spend where you're going to make the most penetration in the most optimal marketplace. So we've done our analysis and looked at where our biggest and best opportunities lie. A lot of it for sure is in the U.S. and a lot of it is in big growth markets like in Alberta and places like that. So our allocation of Territory Managers is done -- and it's very artistic in some ways. And Steve takes his guys and they go into a big huddle and they decide where they're going to invest their next dollar for Territory Managers. I would say for sure that an area that is underpenetrated is the Northeast of the U.S. and we just got a brand new site that's coming -- it's grand opening coming up at the end of March in New Hampshire. And we've got a decent team of guys up there and they are expanding that as well. We're not going to comment on specific numbers in that area, but I will tell you that there was an awful lot of thought put into where those Territory Managers gets placed. I don't know, Steve, do you want to throw in a comment?
Steven C. Simpson: Can you hear me, okay?
Yuri Lynk - Canaccord Genuity, Research Division: Yes.
Steven C. Simpson: Okay. I'd agree with, I mean -- the focus of the opportunity in the northeastern part of the U.S. for sure is significant. We recognize that. We've recently added a few more guys into the mix of that area. Also made some recent changes with our Senior Vice President there whose -- we're moving a guy down from Canada and our other guy's moving over to our strategic accounts. So we're focused on our U.S. business. We recognize the opportunities for us in the Northeast. And it will continue to be a focus for us for several years going forward.
Operator: Your next question comes from Nick Coppola, Thompson Research Group.
Nicholas A. Coppola - Thompson Research Group, LLC: Another question on guidance. I think I heard you say for ARR that you'd expect to be in the 11% to 12% range. Why do think ARR will go lower in '13 and why can't we stay in that north of 12% area?
Robert A. McLeod: Nick, it's Rob again. That's -- as I mentioned in the comments, the -- there's certainly some of the quarterly results in our revenue rate that were unusual and extraordinary, particularly, obviously, quarter 3, where you had a revenue rate in excess of 13%, which, as we mentioned in quarter 3, was the result of a few phenomenal deals, where we really took advantage of our competitive advantages and bringing that to the table. Those types of deals don't come around every quarter, every year, necessarily. So we don't expect that -- those extraordinary quarterly results. And also, there's a -- perhaps an upper limit on the performance of that business -- of the at-risk business, because we will continue to be aggressive on those deals. Because part of our strategy on those deals is all around -- marketing around our competitive response in the competitive environment and also around building relationships with customers that may be new to the unreserved auction model. And so we want to have that flexibility to be aggressive on those deals to achieve our objectives that aren't necessarily the outsized revenue rate generation.
Nicholas A. Coppola - Thompson Research Group, LLC: Okay. That makes sense. And then my second question. For the year, we saw lots were up about 5% year-over-year. GAP was down a tad. So you're skewing to smaller-sized, lower-value lots? And what does that do to your ARR? Just having smaller lot impact there based on your commission structure?
Robert A. McLeod: Yes, it's a -- I think it's great question. They -- it is important to remember that 40% to 50% of the lots that we sell, sell for $2,500 or less, and that's the physical lot. So we sell a lot of small stuff, but the proportion of gross auction proceeds that those small lots contribute is like mid-single digits. It's very small. And so that's adding a bunch of small lots, probably isn't going to move the needle on your revenue rate or on your revenue dollars. It's your larger lots that have the biggest impact, for sure.
Operator: Your next question comes from Bert Powell, BMO Capital Markets.
Bert Powell - BMO Capital Markets Canada: Pete, just wanted to come back to the comments you made around weather in the first quarter. And I'm wondering -- your comments about shifting GAP from Q1 into Q2, is that -- are there specific deals that you have -- or had that were delayed, because of weather? Or is this simply, when you look at the schedule, that's how it's going to fall out?
Peter James Blake: No. There were some specific business that were -- that was delayed for -- you've got to remember in the road, when the weather turns, 2 things happen. One is people have more work to move snow -- or, actually, 3 things happen. They move snow. Two is the existing jobs they're on have to be delayed, so they can't get them finished, and their plans have to be pushed back. And the third is the road bans go on. And when you're trying to move heavy equipment, particularly, from jurisdictions North of Atlanta -- or even in Atlanta, for that matter, with road bans those kind of things get delayed. It happens. We're not going to sweat about it. We're not certainly going to sit here and say, it was the weather -- or blame the weather, because that's not the kind of business that we do. We're broader and transactional in our outlook, and where the equipment is going, how it's being sold and what value we're adding, and all those other fundamental things that we talk about as a long-term view of our business. So yes, there was some impact in some of the early stuff that we saw. And we see some things shifting into Q2 that would normally have occurred in Q1. It's just part of the business, it's not a big deal for us.
Bert Powell - BMO Capital Markets Canada: Okay. And then just turning to the G&A, down in admin and support but, I guess, up because of investment sales. Can you give us a sense just in terms of the G&A for the year after we back out what was -- what you got paid as part of the separation agreement? How should we be thinking about G&A next year? Can you continue to make cost savings that offset some of these additional TTMs that you're planning?
Robert A. McLeod: Bert, it's Rob. Great question. And for sure, in 2014, our desire, our plan, our strategy is to grow our sales team 5% to 10%, as well as grow some of those sales support functions. In the last few years, we've added some particular positions that will take some administrative burden off of our salespeople and also help our salespeople refine their needs and their attack on particular opportunities. We will absolutely do that in 2014. So we will continue to invest in our sales team. Whether there are cost savings to be had at elsewhere in the organization, that isn't part of the strategy. That isn't the model that we have. The model, for sure, is to grow the business, grow the top line, which is growing GAP as well as, obviously, then, growing revenue and growing our expenses at a slower pace than that. And so if we're going to grow our -- we know we're going to make an investment and we're going to grow the costs associated with our sales team. The growth in our demand and operations teams will be even slower from that. And so -- but, I wouldn't say that our model is looking for cost cuts or cost savings.
Bert Powell - BMO Capital Markets Canada: Okay. But the G&A is the leverage point of the business model, so that should start -- we should start to see the leverage on that? That rate should be going slower?
Robert A. McLeod: Exactly slower than our revenue, for sure. And with -- and one of the mantras that we like to use around here is "grow before we spend."
Scott A. Schneeberger - Oppenheimer & Co. Inc., Research Division: Your next question comes from Scott Schneeberger, Oppenheimer.
Scott A. Schneeberger - Oppenheimer & Co. Inc., Research Division: First question is with regard to the sales and lead tracking software rollout in the first half, could you give us an update on that, and how it's going to roll? How far along are you, if at all yet? And how are you going to do it? Geography-by-geography? Or how does that roll work?
Robert A. McLeod: Scott, it's Bob. You called it the lead tracking software. I'm going to assume you mean the salesforce.com implementation, which is the new CRM package we're rolling out to our whole sales force. We'll be rolling that out region-by-region with in-person training through the end of [indiscernible]. We'll have the entire sales force and operational teams using the salesforce.com platform by June 30 this year.
Scott A. Schneeberger - Oppenheimer & Co. Inc., Research Division: Okay. Also, could you guys comment with regard to your pursuit of government contracts, just what you're targeting? And what you think your outlook is for mix of business going forward. And anything, specifically, you're pursuing.
Peter James Blake: Scott, it's Pete -- I'll speak to it, and I'd like Steve to maybe chime in as well. Yes, for sure, government contracts are interesting to ask. I think it was -- I'll share with you an anecdotal incident that's occurred in the last short while, and it really illustrates the value of our proposition that we put forward to owners of equipment. With EquipmentOne now in the saddle, we've got sort of a dual-pronged approach. And we're approaching some of the government agencies that would formerly [indiscernible] commission. And we wanted to control the price. And the process is a bit unique for the unreserved auction program, so we're not really sure that our RFP will line up with what you guys do. And today it's very different. We walk in, and we've got a dual solution. And we had a very favorable experience with the Texas Department of Transport recently, where we went in with a dual solution, and they looked at it and thought that was a great idea, sat with them, and we put a contract together with them. And funny enough, the majority of the assets that are coming to market. And I think it's like 6,000 of items to be sold by September. The majority of those will probably go to the auction. Yet we entered the contract negotiation with a view that we can meet their needs under the RFP because of EquipmentOne and what we offer, in terms of control of pricing process with EquipmentOne, and the auction solution providing liquidity and global value. So it's, really, pick your asset and pick your method of distribution, and we can supply what you need. It was a great win for us, a great win for EquipmentOne, a great win for us as a company. That was just an example of one government contract that we've recently landed that, that is part of our -- within our crosshairs going forward. And, Steve, do you want to throw some color to that?
Steven C. Simpson: Yes, no, it's -- as Pete said, it's -- we've for years been out trying to get some traction with some of these government entities and always been a bit challenged because we did -- most often did not comply with the RFPs due to the unreserved part of life for our fees or our rates, so on and so forth. And to have now E1 in the mix is really opening up a lot of doors for us. And we are actively pursuing a bunch more of it. And, ideally, to get something with these folks and have a dual solution, give them -- either option is pretty attractive to them. As Pete said, the -- and for us, I mean, we're happy. As long as we get the business, we don't care which way it goes. But I think there's some real opportunity for us there, and we're on it, and we're pursuing more of it.
Operator: Your next question comes from Nate Brochmann, William Blair & Co.
Nathan Brochmann - William Blair & Company L.L.C., Research Division: I wanted to talk a little bit just on the mix side. That kind of seemed to kind of take a little bit of a positive turn at the Orlando auction, even though, maybe, we didn't have as many cranes there or whatnot. But, overall, it sounded like we had a pretty decent mix such that has had been such a big negative for the last couple of years. Does it kind of feel like we're starting to bottom out a little bit in terms of that mix of kind of the older value lots and how smaller stuff?
Peter James Blake: Yes, I mean, Pete here. For sure, we are seeing a definite shift in the age of equipments. We thought -- we did a bit of analysis in Orlando, sort of the 1- and 2- and 3-year-old equipment that we saw in February of 2013, and the same for 2014 over a number of sort of key categories like artics and dozers, excavators, loaders, telescopics and skid steers and things like that. We saw -- for 3-year-old equipment, as an example, we saw more than double the number of items that we would have seen prior year, for a 3-year-old equipment. So if you think about -- again, back to -- we've talked before, but back to the adage of -- that 2009, 2010, we're down years for OEM production. So in 2013, which is last -- a year ago, the 3-year-old equipment, really, was in very short supply. We didn't really sell that much of it. And this year, 3-year-old equipment, by definition, is 2011 model year. And guess what? We still more than double what we would have sold in Orlando last year. So it's a bit of a -- it's one data point, an interesting one, and we're seeing that happen in more just the one location. So it's starting to shift. We're seeing more transactions coming to market now. There's a little bit more iron in the channel, if you will. The CAT, I think, came up with recent stats that they published an 8-K on late February, showing retail sales of their dealer network was up substantially in the construction industry side, across the world and across the board. And their results are more adversely affected by the mining side. But encouraging stuff from the construction sector, especially in North America, where the dealer channel is starting to sell. Not only CAT, but all the other dealers that we speak to right now are back more in the more normalized mode of where their inventory models are and what's moving in the product marketplace. The housing market is supporting of that as well, so -- and the Tier 4 stuff that's out now is being well accepted by the marketplace. It's product that people are comfortable with now. It's performing as expected. Fuel efficiencies and things like that, that were touted are actually being experienced by customers, so a there's sort of new model factor that people tend to shy away from in the first go, but Tier 4 finally now rolling out in the U.S. It's -- I think it's getting back to a more normative state for people's buying and selling habits, and we're seeing that convert to transactions too.
Nathan Brochmann - William Blair & Company L.L.C., Research Division: Okay, that's great. And then the second one, what are you guys seeing on the competitive front in terms of, obviously -- if we go back 1.5 years ago or so, we're seeing a heck of a lot of competition for that newer type of equipment that was in scarce supply. That, obviously, has kind of come off a little bit. But can you just -- like in terms of what you guys are seeing, in terms of some of the various competitive channels? And also, too, maybe, specifically, what you're seeing out of the rental channel in terms of the sell-through at your auctions?
Peter James Blake: Sure. Thanks, Nathan. Steve, do you want to speak to that?
Steven C. Simpson: Yes, sure, yes. Competitive channels, still, a lot of competition out there. We're out there fighting for deals every day. And it's -- I don't think the competition has abated at all. I think the -- I think, there's a lot of people out there that are still scrambling to try to find the particular assets that are in the sweet spot of the late model, low-hour, whole-spec stuff, that it's still hard to get. And it doesn't matter if you're an auctioneer, or if you're a broker, or one of the OEM dealer, it's tight out there. The rental fleets are still at all-time high utilization. So those guys are really having some nice wins right now, as far as having stuff out in the market. And, equally, the sales team with the rental companies, they're -- they seem to be moving a fair bit of the products, although -- albeit we're still getting some of it, but with the utilization so high, they're not selling as much as they were. But as far as the competition goes, it'll continue to be out there, and it's out there every day. That was one of the reasons too when we talked about our auction revenue rate and putting it down to a more modest similar range to where we typically are. Because we are going after that business, and sometimes it's going to be a little bit skinny, and hence, the need to adjust the rate down a bit.
Operator: Your next question is from Jamie Sullivan, RBC Capital Markets.
Jamie Sullivan - RBC Capital Markets, LLC, Research Division: So a question, I guess, just on the outlook. It typically seems like there's a fair amount of optimism exiting Orlando early in the year. You're guiding 1Q to flattish. It sounds like maybe down little bit. So just maybe you can just help us -- what are you assuming in the marketplace that gives you confidence that the volume and the larger categories is going to inflect in the next couple of quarters. And maybe why this year is different than prior years?
Peter James Blake: Sure, Steve, do you want to take that?
Steven C. Simpson: Yes, I think the -- as far as the end market and the assets, the availabilities of -- there -- the stuff is still tight out there. The demand is getting better. And the more we're getting out -- I think one of the parts of a marketplace that will continue to be tight is, as we talked earlier, is the construction stuff, the yellow iron that we typically call it. And that stuff is going to be -- just a lot of competition for that. And, of course, you want to have as much as you get in your auction sales because it's a big draw. But equally, we are continuing to diversify our sales force and make sure we're out there. And we're calling all the people in the ag business, and all the farmers, and all the truck and trailer guys, the energy companies. So we are continuing to diversify in that we're getting some placements because of it. But in a lot of cases, it's a lot of work to get some real momentum going in that marketplace. But it's -- we're just -- maybe we're being a little bit cautious, but it's probably a safe bet to be.
Jamie Sullivan - RBC Capital Markets, LLC, Research Division: Okay. That's helpful. And then maybe just on the sales force front. It sounds like one of the key metrics going forward is going to be the stability and growth of the sales force. So maybe, in '13, you can tell us what was turnover in ' 13? What are sort of the targets as we go into '14 here?
Robert A. McLeod: You want to take that, Pete?
Peter James Blake: Yes, the sales force, yes, you're exactly, Jamie. The -- good word as well, the stability and the growth of the sales force and our attrition, in particular, our voluntary attrition, actually, was -- fell in 2013 compared to 2012 and latter half of '11, which was excellent and was -- we, believe, partially due to some of the programs that we put in place, particularly our -- some management training programs that we put in place for sales management. So that's -- having that fall in 2013 was positive. We want to continue that. For sure, there will continue to be attrition -- voluntary and involuntary attrition, within the sales team, as any sales team would have. And then on top of that, add some -- add the growth of 5% to 10% a year. And that's a -- you're exactly right that it is a very big focus, and it is an important metric, that growth of the sales team, because it is challenging to find new Territory Managers to sell unreserved auction services and to get them trained and on board and moving up that productivity line that takes anywhere, 12, 18, 24 months to get someone moved up that line. And we're continuing and probably reinforcing some of the programs we have in place to help with that productivity, one of them being our trainee territory manager program, which has yielded great results in the last few years, and we want to be focusing on that and embellishing that program, in particular, to help with that -- well, frankly, with the stability and the productivity of the sales team.
Jamie Sullivan - RBC Capital Markets, LLC, Research Division: Okay, and -- but, I guess, in terms of numbers, you're not comfortable providing us what it was in '13?
Peter James Blake: Yes. We don't -- we, generally, don't publish it, no.
Operator: Your next question is from Adam Fleck, Morningstar.
Adam Fleck - Morningstar Inc., Research Division: Just a question falling back on the at-risk business. It's up as a percentage of your GAP for the first time in several quarters. And I appreciate the comments that you're using it, of course, as a strategic tool. But how should we think about that business, as GAP starts to grow again? Is that going to continue to fall? Or should that go in line with overall GAP do you think?
Robert A. McLeod: The quantum, yes, will grow in terms of the growth in GAP. But the percentage of the volume, it will fluctuate quarter-to-quarter, for sure, just depending on the environment and what package of equipment are available in particular quarters. And we would expect it to be in the -- as we talked about last year, we expected the volume to decrease from 2012 through 2013, which it did, back to a little bit more historical levels. And so probably that volume is going to be 25% to 30% going forward and -- but it will fluctuate quarter-to-quarter for sure.
Adam Fleck - Morningstar Inc., Research Division: Okay, that was great. That's really helpful. And then just wanted to follow up on the fourth quarter GAP. December looks like it was a record month. Of course, quarter 4 is a bit ahead of your original guidance. Is there any thought or concern that some of that may have been pulled forward due to the some of the tax law changes and engine emission standard changes? Or was it just the timing issue?
Robert A. McLeod: Yes, I mean, well, obviously, incredibly difficult to understand the motivations of equipment owners, and when they make a decision to sell. And we're not necessarily privy to that decision-making. If there was any, I think it will be relatively minimal impact, particularly the -- moving from quarter 4 from quarter 1 in 2014.
Operator: Your next question is from Cherilyn Radbourne, TD Securities.
Cherilyn Radbourne - TD Securities Equity Research: The first question I wanted to ask relates to your comments on the auction revenue rate for 2014. You did raise the top end slightly, and I think commented that you did see some opportunities for some upside, albeit not as good as in 2013. Could you just sort of give us some color there, please?
Robert A. McLeod: Sure. Cherilyn, it's Rob. I think that top end change -- a couple of things going on. One was our disciplined approach to the at-risk business and how we're tackling it, and how we're really using our competitive advantages to bring to bear on those packages of equipment that will help some. The other thing is -- a smaller proportion, for sure, is really our fee income, and that fee income from our Financial Services business. And so that revenue ends up in -- as part of your revenue rate. And so that gives a little bit of a lift as well.
Cherilyn Radbourne - TD Securities Equity Research: Okay, that's helpful. I also wanted to just ask for a bit of perspective on EquipmentOne. Because the auction revenue rate on that business in the fourth quarter, and I think, this has been reported has actually been higher than what you achieve on your core business, which is a bit surprising, at least from my point of view, given that it's a lower touch business. So I just wonder if you think that, that's sustainable, long term?
Robert S. Armstrong: Cherilyn, it's Bob. Yes, it's sustainable, for sure. The revenue model with EquipmentOne is very different than the auctions business, because it's a very different business. The bulk -- the majority of the revenue comes from a buyer's premium of 10%, but we also charge a seller's commission to most of our larger customers because of the amount of service we provide to them. So it depends on what they get. But the average -- the equivalent to the auction revenue rate for EquipmentOne last year was in the range of 13%. And there's no reason to think that'll change dramatically in 2014.
Operator: Your next question comes from Neil Frohnapple, Longbow Research.
Neil Frohnapple - Longbow Research LLC: Maybe a question for Bob, just a follow-up to EquipmentOne. What are you targeting for sales yield in 2014? I think you mentioned that it hit 85% this past year, which was above your expectations. Any color you can provide there would be helpful.
Robert S. Armstrong: We've actually taken 85% and called that the target for this year. We want to be over 85%. We know we can do 85%, so our goal now is to improve on that. But I'll be honest with you, I'm quite happy at that level, that's a pretty high level. And if we can just maintain better or above it, that will be a good success.
Neil Frohnapple - Longbow Research LLC: Great. And then you mentioned EquipmentOne was a $3 million EBITDA drag for '13. Just to clarify, you said, you expect it to be roughly neutral in 2014 and beyond?
Robert S. Armstrong: I think what we tried to say is that we expect it to be marginally positive in 2014. Have not spoken about past that, but we have said we don't expect it to be material for the next couple of years. So I'll restate that as clearly as I can. 2014 we should have a positive but immaterial EBITDA and 2015 as well.
Neil Frohnapple - Longbow Research LLC: Great, and then just one final one. If I rewind to 3 years ago, I think, you typically see a little bit of a G&A spike in Q1 from ConExpo, I think, in the tune of $1 million or so. Is that kind of what your expecting for the first quarter as well?
Peter James Blake: Yes. ConExpo is occurring in, actually, this week -- in 2014. So yes, there'll be a little bit of a spike in there, because the equivalent trade shows is BAUMA and INTERMAT, and probably -- which occur in different quarters. I think they're usually quarter 2 events. And so, and just say -- whether the quantum that we spend on each one is equivalent or not, but yes, it's a timing effect.
Peter James Blake: Okay, everyone, thanks. I appreciate you guys dialing in for the call. And we'll look forward to -- maybe we'll see some of you down at Con Expo. Most of us are heading down there right now. And so we'll look forward to seeing you down the road here. Thanks very much for participating. Thanks, Rich.
Operator: Ladies and gentlemen, this concludes your conference call for today. We thank you for participating and ask that you please disconnect your lines.